Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Dynagas LNG Partners Conference Call on the Third Quarter 2022 Financial Results. With us we have Mr. Tony Lauritzen, Chief Executive Officer; and Mr. Michael Gregos, Chief Financial Officer of the company. At this time, all participants are in listen only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference call is being recorded today. Please be reminded that the company announced its results with a press release that has been publicly distributed. At this time, I would like to remind everyone that in today's presentation and conference call, Dynagas LNG Partners will be making forward-looking statements. These statements are within the meaning of the federal securities laws. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. The statements in today’s conference call that are not historical facts, including, among other things, the expected financial performance of Dynagas LNG Partners’ business, Dynagas Partners LNG ability to pursue growth opportunities, Dynagas Partners LNG expectations or objectives regarding future and market charter rate expectations and, in particular, the effects of COVID-19 on the financial condition and operations of Dynagas Partners LNG and the LNG industry in general, may be forward-looking statements such as defined in Section 21E of the Securities Exchange Act of 1934, as amended. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide two of the webcast presentation, which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now I pass the floor to Mr. Lauritzen. Please go ahead, sir.
Tony Lauritzen: Good morning, everyone, and thank you for joining us in our three months ended 30 September ’22 earnings conference call. I'm joined today by our CFO, Michael Gregos. We have issued a press release announcing our results for the third period. Certain non-GAAP measures will be discussed on this call and we have provided a description of those metrics, as well as a discussion of why we believe this information should be useful in our press release. Moving on to slide three of the presentation. We are pleased to report the results for the three months ended 30 September ’22. All six LNG carriers in our fleet are operating under their respective long-term charters. The fleet's utilization was 100% for the 10th consecutive quarter included. For the third quarter of ’22, we reported net income of $7.4 million, earnings per common unit of $0.12, adjusted net income of $4.5 million, adjusted earnings per common unit of $0.04 and adjusted EBITDA of $20 million. In terms of operational highlights, relating to the third quarter of ‘22, we successfully completed the special service of Amur River OB River, including ballast water installation in accordance with current regulatory requirements. Our hearts go out to everyone affected and suffering as a result of the crisis in Ukraine. We continue to closely monitor this ongoing situation, including the implications of economic sanctions, trading restrictions and other considerations that may affect our business. It is outstanding that the current U.S. and EU sanctions regime have broadly exempted LNG shipping and do not materially affect the business operations or financial conditions of the partnership. The balance sheet has one syndicated credit facility in place, one of the members in this credit facility was Amsterdam Trade Bank. However, following the designation of Amsterdam Trade Bank by all five as an SDN, the Partnership in agreement with all lenders made a voluntary prepayment of $18.7 million from the $50 million restricted cash collateral, which was applied in prepayment of the entire participation of Amsterdam Trade Bank to the credit facility. Consequently, Amsterdam Trade Bank is no longer under the credit facility. The partnership’s counter-parties are performing their obligations under their respective time charters in compliance with applicable U.S. and EU rules and regulations. Our vessels named Clean Energy, Ob River and Amur River are on charter to previous Gazprom Marketing and Tradings of Singapore, which has been renamed Securing Energy for Europe Marketing and Trading and which we onwards will refer to as SEFE. On November 14, ’22, it was announced at the full ownership of Securing Energy for Europe GmbH and all of its subsidiaries, including SEFE has been transferred with immediate effect to the Federal Republic of Germany we have the Federal Ministry of Economic Affairs and Climate Action, which has taken over as 100% [shareholder] (ph). Sciences' legislation is changing rapidly and the partnership is continuously monitoring the ongoing situation. The line of ship is well positioned to take advantage of a strong market outlook for long-term charters or the Arctic Aurora opening up in Q3, Q4, ’23. I will now turn over the presentation to Michael, who will provide you with further comments on the financial results.
Michael Gregos: Thank you, Tony. Moving to slide four. Net income for the fourth quarter decreased by 35% to $7.4 million, compared to Q3 2021, more was due to the special survey dry-dock cost the $3.5 million of the Amur River and $3.9 million for the OB River, $7.4 million greater and 67 scheduled off-hire days related to the dry-dock and the increase in interest finance cost of $2.1 million, which was partially offset by a realized and unrealized gain on our interest rate swap of $10.2 million, $2.5 million of which was realized. Adjusted net income, which excludes realized and unrealized gains on our interest rate swap for the quarter was $4.5 million. If we add the realized gain from our interest rate swap quarterly cost payment of $2.5 million, adjusted net income would have amounted top $7.1 million. Adjusted EBITDA for the third quarter was $20 million, a decrease of $4.8 million reported to last year mainly attributable to the off-hire days related to the aforementioned scheduled dry-docks. So this year, we have completed the special survey and dry-docks of three turbine LNG carriers, including the installation of the ballast water treatment systems, which is capitalized with the total cost of the third special survey in dry-docks of our three steam turbine LNG vessels for this year has amounted to $16.4 million with 103 days of off-hire time. $3.6 million impacted our Q1 P&L, $2.8 million in our second quarter P&L, and $7.4 million has impacted our third quarter P&L and $3.7 million relates to installation of the ballast water treatment system, which has been capitalized. Moving to slide five, at the other September, we had $531 million debt outstanding, which was further reduced, totaling a $19 million debt repayment in October following the designation of one of our lenders as an SDN. But for August to-date, our debt outstanding amounts to $512 million. We are seeing the benefits of our 0.41%, excluding the margin, fixed interest rate swap for the entire indebtedness outstanding and term maturity in September 2024, with floating interest expense for the quarter of $7.2 million being offset by interest rate swap payments of $2.5 million for the quarter. We are continuing our comprehensive deleveraging path, which commenced in the first quarter of 2020 having repaid $163 million in debt, resulting in a decrease in our net leverage to 4.8 times from 6.6 times and an increase in book value of our equity of 33%. Moving to slide six. In line with our strategy of using our contracted cash flow to reduce leverage for the quarter, we utilized 95% of our unlevered cash flow to service debt and interest rate payments. Excluding working capital changes, operating cash flow for the quarter was $16 million. Our cash balance decreased by about $2.5 million to $97.7 million, primarily due to our dry-docks and working capital changes. We expect that Q4 2022 cash position to be impacted by the aforementioned $19 million debt repayment for Amsterdam Trade Bank and the supplement of outstanding payments following the completion of our aforementioned dry-docks. That wraps it up from my side. I will pass over the presentation to Tony.
Tony Lauritzen: Thank you, Michael. So let's move on to slide seven. Our fleet currently counts six LNG carriers with an average age of about 12.3 years. The charterers of our vessels are Equinor of Norway, SEFE of Singapore and Yamal Trade of Singapore. As of today 12th of December ’22 the fleet's contract backlog is about $915 million, equivalent to an average backlog of about $152 million per vessel, and the fleet's average remaining charter period is about 6.2 years. Moving on to slide eight. Our strategy is to conclude long-term charters with reputable LNG producers. The earliest contracted redelivery date any of our six LNG carriers is in the third or fourth quarter of ‘23 for the Arctic Aurora with the second earliest contract redelivery in the first quarter of ‘26 for the Clean Energy, both subject to terms of the applicable charter. Barring the unforeseen events and vessel scheduled dry-dockings, our fleet is 100% employed for the remainder of ‘22, 96% for the year ‘23 and 83% for ‘24 and ‘25. There continues to be strong demand for LNG time shipping. In particular, we believe the 150,000 to 160,000 cubic meter LNG carrier segment is ideal to supply LNG for the European FSRU market. As such, we believe the Arctic Aurora should be in a very good position to benefit from a strong period market. All the vessels in our fleet are employed on time charter contracts, under which the charter pays major voyage-related variable cost such as fuel, canal fees and terminal costs. Two of the vessels, namely the Lena and Yenisei River, are under dry-dock and OpEx cost pass-through contracts and, in general, provides for protection for reasonable inflation and operating expenses. Let's move on to slide nine. Since September 2019 until Q3 ‘22, the partnership has repaid $163 million in debt, decreased net leverage from 6.6 times to 4.8 times increased book equity value by 33% to $460 million. The partnership’s deleveraging efforts should continue to build equity value on a contractual structure basis as we continue to benefit from stable long-term cash flow visibility and improved market conditions. The Russia-Ukraine situation have shed light on a fragile European energy infrastructure and general global underinvestment into LNG production and receiving facilities. The EU’s goal to replace 50 Bcm of Russian pipeline gas imports with LNG imports has increased competition for LNG supply and shipping. With the opening of the Arctic Aurora in Q3, Q4 ‘23, we believe the partnerships will have exposure to strong shipping fundamentals. Some European countries are looking to accelerate their infrastructure development by chartering FSRUs. Germany, which currently does not have any land based import facilities, has chartered FSRUs for long-term charters, two of which are from the private fleet of Dynagas. Post current charters, we believe the partnership has the potential to consider conversion of existing LNG carriers to FSRUs as an alternative to conventional LNG charters. Both alternatives will be considered. We believe the combination of the availability of the Arctic Aurora against a strong market and the further strengthening of our balance sheet places the partnership in a favorable position. We have now reached the end of the presentation, and I now open the floor for questions. Thank you.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Thank you. Thank you and our first question is from the line of Ben Nolan with Stifel. Please proceed with your question.
Ben Nolan: Hi, Tony, Michael. Hope you guys are well. So the -- really the only variable out there at the moment is the Arctic Aurora, which you talked about. Any sense as to sort of -- and Tony, you said that the appetite is pretty good, because it should fit pretty well. And with the FSRU market in Europe, any sense as to the timing or charters being pretty aggressive in terms of when they're looking to lock things in or alternatively, how are you thinking about it? Would you rather wait until you get a little bit closer or do something sooner if it's available?
Tony Lauritzen: Yes. Thank you, Ben. That's a good question. Look, we see appetitie FSRUs right now. We see several interests for the position. Actually, you know, our LNG is quite different from other shipping segments, and it has a longer time view and it's further forward fixing. So I would expect that, that will be in the next quarter that the vessel will probably be locked in or [indiscernible].
Ben Nolan: Okay. That's helpful. And switching gears maybe, so you talked about the prepayment of debt. I assume that doesn't change anything in terms of -- the terms of the loan or your ability to do things with your cash like pay dividends or whatever? For now, it's still just a lower principal amount basically. Is that fair?
Michael Gregos: Yes, yes. Yes, that's correct. Yes, we just used the funds for a restricted cash collateral account, so we paid this debt and that’s the only thing that changed.
Ben Nolan: Okay. And as it relates to -- yes, we're still a little ways from refinancing that facility. But I assume if it comes due in mid-’24 that you probably maybe six months from now are going to be looking to refinancing I would guess. How do you think about the collateral value? I know that it's a pretty good time in the LNG market. Obviously, new buildings are whole lot more expensive. There's -- I believe a little bit of less appetite for steam turbine ships, but as you think about, sort of, your ability to refinance that debt and the value of the underlying assets behind it? Has that changed in your view materially in the last kind of a year?
Tony Lauritzen: Yes, Ben. And let me -- I mean, I can address the question on the steam turbine. So of course, the vessels here are locked up in time charters, so they're all with Securing Energy for Europe, and actually kind of alluded to in the presentation. There is good appetite for smaller vessels to feed the European market to in terms of FSRU implications. It is difficult to apply this new large two strokes 174,000 cubic meter LNG ships to perfectly match, you know, and FSRU in this chart or all of that cargo into -- not into equally inside FSRU. So we do see first of all, we do see interest or smaller ships. Now our turbine ships are quite large, they are 150,000 cubic which for best of that [indiscernible] to which ship. And we would just like to point out that they are found out until ’26 and ’28 respectively.
Michael Gregos: Yes, that's a good point, Tony. And I think, Ben, I mean, remember, three years ago when we refinanced this debt we $675 million facility by the time this one comes up renewal, it's going to be $415 million, so that's going to be less than $70 million per vessels. I mean, so I think we're in a much better position. Obviously, the market fundamentals are also materially better than that. And obviously, we've not going to leave it for the last minute, we will start looking at the refinancing time passes very, very fast. It's already 2022, so I think within six months of 2023, we will be looking into refinancing.
Ben Nolan: Okay. Yes, that's what I assume. I appreciate the color. Thanks guys.
Michael Gregos: Thank you.
Tony Lauritzen: Thank you.
Operator: Thank you. At this time, I'll turn the call over to Tony Lauritzen for closing remarks.
Tony Lauritzen: We would like to thank you for your time and for listening in on our earnings call. We look forward to speak with you again on our next call. Thank you very much.
Operator: This will conclude today's conference. You may disconnect your lines at this time. We thank you for your participation.